Vipul Garg: Hello, everyone. I’m Vipul Garg, Vice President, Investor Relations at MakeMyTrip Limited and welcome to our Fiscal 2023 Fourth Quarter and Full Year Earnings Webinar. Today’s event will be hosted by Deep Kalra, our company’s Founder and Chairman. Joining him is Rajesh Magow, our Co-Founder and Group Chief Executive Officer; and Mohit Kabra, our Group Chief Financial Officer. As a reminder, this live event is being recorded by the company and will be made available for replay on our IR website shortly after the conclusion of today’s event. At the end of these prepared remarks, we will also be hosting a Q&A session. Furthermore, certain statements made during today’s event maybe considered forward-looking statements within the meaning of the Safe Harbor provision of the U.S. Private Securities Litigation Reform Act of 1995. These statements are not guarantees of the future performance are subject to inherent uncertainties and actual results may differ materially. Any forward-looking information relayed during this event speaks only as of this date, and the company undertakes no obligation to update the information to reflect changed circumstances. Additional information concerning these statements are contained in the Risk Factors and forward-looking statements section of the company’s annual report on Form 20-F filed with the SEC on July 12, 2022. Copies of these filings are available from SEC or from the company’s Investor Relations department. I would like to now turn the call over to Rajesh. Over to you, Rajesh.
Rajesh Magow: Thank you, Vipul. Welcome everyone to our fourth quarter and full year earnings call of fiscal 2023. Fiscal 2023 has been a robust recovery year for the Indian travel industry. We witnessed consumer sentiment to travel improving with each successive quarter throughout fiscal year 2023. Travel industry was quite relieved to see demand for each of the travel segment with leisure business, VFR that is visiting friends and relatives, students, pilgrimage, mice, etcetera, recovering nicely during the year despite macroeconomic headwinds in the recent quarters. We at MakeMyTrip also saw robust recovery of all our business segments, barring outbound travel recovering nicely to pre-pandemic levels. In fact, some of the categories like premium segment of hotels, domestic flights, homestays and domestic packages have already crossed pre-pandemic levels. This demand momentum, coupled with our optimized cost structure, helped us deliver strong performance for the quarter and full year. We achieved our highest ever annual gross booking value and adjusted operating profit during the reported fiscal year ‘23. Gross booking value for the year was $6.6 billion, growth of 122% on constant currency basis, while adjusted operating profit for the year was $70.3 million, growing to over 3x as compared to fiscal 2022. As per WTTC report, over the next decade, global travel and tourism GDP is forecasted to grow at about 5.8% outpacing the overall economy growth to reach $14.6 trillion by 2032, thus contributing 11.3% to total global economy. India’s tourism sector is expected to grow faster, owing to growing demand from the middle class, higher disposable incomes, favorable demographics and higher investments in travel-related infrastructure. Emerging technologies will be at the forefront in driving online travel penetration with new innovations to make online travel booking extremely simple and convenient, helping push adoption from smaller cities. We at MakeMyTrip will continue to drive this change and capitalize on the opportunity that lies ahead. Our tech platforms built over the years are very robust, reliable and scalable provide secure and delightful experience for the customers on our B2C offerings. More recently, leveraging our core tech capabilities, we have built new platforms like myBiz, myPartner, to cater to B2B corporate and B2B2C demand segments respectively. Our platform mindset in building our tech stack has helped us launch all these new offerings over the last few years with amazing efficiency and agility. These investments will help us drive future growth and profitability. Besides building new platforms and launching MakeMyTrip.ae which is our GCC platform, we have now built almost fully automated, fully self-serve model of our post sales interface. As a result, we now offer the best in industry or sales capability across our entire line of businesses, thus improving customer experience for core sales use cases. Our data science and engineering capabilities have enabled us to deliver delightful, personalized and contextualized experience to our customers. Leveraging these capabilities with insights-driven mindset enabled us to launch several industry-first features for our consumers. Most of our new offerings are backed by rich data science capabilities, which we employ cutting-edge AI/ML models to bring value-added differentiated features. Consumer-focused products like zero cancellation, fair lock, trip guarantee, hotel ranking, etcetera, and supplier-focused products like REVMAX, a paid yield management tool for bus operators demonstrate our superior capabilities in data sciences, AI and ML. A key part of our growth strategy to drive digital penetration of travel services deeper into the country beyond Tier 1 and Tier 2 cities. We recently collaborated with Microsoft to make travel planning more inclusive and accessible by introducing voice-assisted booking in Indian languages. The new conversational flow powered by Microsoft Azure AI and cognitive services will converge with the user to offer personalized travel recommendations based on their preferences, curate holiday packages based on variable inputs like occasion, budget, activity preferences, time of travel, etcetera and eventually, help book these holiday packages. Similarly, it could help book flight tickets with a few simple conversational steps, including payment. This can drive adoption of online travel ecosystem for almost every strata and demography across the country. Currently, the beta version of this integration has been introduced in Hindi and English for flights and holiday customers. Apart from tech capabilities, one of our biggest trends is the brand – is the brands that we have created over the years. All three of our brands have the highest top of mind recall when it comes to travel services with a cumulative transacted consumer base of over 64 million users. Our engagement metrics and repeat rates are comparable with the global benchmarks, which is testimony of trust in our brands. As for business segments now, starting with air business, recovery momentum in aviation sector continued during the quarter despite the lower leisure season quarter. There was an uptick in both domestic and international air traffic, especially in the month of March. We have been growing faster than the market on the back of our innovative product and brand strength. Also for two quarters in a row, our domestic loan passenger traffic is above pre-pandemic levels. International air bookings have seen an expectedly slow recovery throughout the year. The recovery is now in the 90s and we expect to get back to pre-pandemic volumes in the new fiscal year. We continue to innovate product features. For instance, we have not only scaled up our fair lock feature to cover 95% of domestic flights, but also launched this feature for international itineraries with about 95% coverage. While according to Center of Aviation, CAPA next year outlook for Indian domestic aviation sector is quite positive with a projected growth of about 20% year-on-year. Recently, Go First Airlines having a small market share of about 6% filed for voluntary insolvency resolution proceedings before the National Company Law Tribunal, NCLT, in India, seeking interim relief citing failure of the global engine supplier to replace the 40 engines from time to time, resulting into grounding off half of their fleet and consequent operational and financial issues. Interim relief was granted by NCLT and the airline is making all possible efforts to resume the operations. In the short-term, this event has affected the supply although we expect it to be temporary as the other airlines in the market have started to fill the supply gap with additional deployment of planes on key routes. Our accommodation business, which includes hotels, packages and homestays segment, continues to shape up well. Leisure travel has gone beyond pre-pandemic levels and corporate travel has recovered strongly on the back of conferences, exhibitions and events. With our continuous focus on supply expansion, we have surpassed our pre-COVID supply with more than 71,000 salable accommodations listed on our platform. This has helped us increase our market share and further strengthen our supply mode. With international outbound travel picking up, we have now started to expand our direct contracting for destinations where Indian tourists travel frequently. Vietnam is one such example of a new emerging destination where we are now building inventory through direct supply contracts to deliver better value to our customers. Gross booking for accommodation business has surpassed the pre-pandemic levels on the back of strong growth in premium and medium – mid-premium category of hotels. Our endeavor has been to build a platform that is innovative, intuitive, simple and delivers the best value to the customer. During this quarter, we launched Book at Zero, which is an industry-first initiative where customers can now reserve their preferred property without worrying about upfront payments and pay closer to the travel date. They are solving for any anxiety related to uncertain travel plans and offering huge flexibility to the customers. This feature is now available for all properties across India and outside India. This is helping us change the consumer behavior to book in advance, which will help better yield management for our partners. We continue to scale our homestays business with later destinations contributing to most bookings. To discover and promote properties at drivable distance, we launched Hidden Gems. This feature has been built on interactive maps to improve the discoverability. To make decision-making informed and seamless for homestays, we introduced some other features showcasing information related to food and dining at the property. Our holiday packages business has also continued to scale up and has already surpassed pre-pandemic levels. Coming to our bus ticketing business continues to deliver strong results we are now starting to see some buoyancy in the supply ecosystem with multiple large operators confirming new fleet orders to OEMs and addition of new EV intercity buses by newer players. A few large bus operators who had paused or shrunk their operations post the COVID lockdown have restarted during the quarter with an effort to get the full fleet back on the roads. With favorable macro environment like new expressways and highway expansion, demand growth due to more in-office working, especially in IT companies in the South India and easing of the supply constraints in motor vehicles production, we expect capacity expansion in intercity buses during this financial year. Product-related initiatives continue to focus on driving online penetration for the category and enhancing customer experience. The regional transport corporation bus booking experience has been further improved and customized to each RTC. This has improved the conversion rates for RTC bookings, leading to an increase in the rate of new customer acquisition. Further, in non-traditional bus markets like Central and East India, we have added significant inventory to drive the penetration. We intend to double down on these efforts to make Redbus truly pan-national with meaningful business contributions coming from every region in the country. International markets are maintaining their growth momentum and now contribute upwards of 10% of our overall bus revenue. Our other ground transport services, such as intercity cabs, rail tickets, etcetera, continue to scale well. This segment is helping us acquire new users on the platform. We are investing in this business as we foresee an opportunity to disrupt this segment through technology interventions – innovating offerings and supply consolidation. We opened our trip guarantee offering for users who haven’t booked their train ticket from MMT platform to further expand our reach to rail users. Our myPartner, B2B2C platform, where we offer both flight and accommodation booking is gaining positive traction from our affiliate partners. Engagement levels from existing partners are improving as we continue to ramp up onboarding new partners every quarter. Business travel is gradually normalizing and we continue to add more capabilities on our both myBiz and Q2T platforms. We recently completed end-to-end integration flow with Darwinbox giving complete solution to the corporates from travel request to expense management. Our revamped portal of Q2T has now gone live and our myBiz platform is now ranked as second best travel management software globally and first for small business segments, SME, by G2, which is a global peer-to-peer review platform. With the scaling up of our corporate and B2B2C platforms, we are now able to target all customer demand segments directly and more effectively. With this, let me now hand over the call to Mohit for financial highlights of the quarter.
Mohit Kabra: Thank you, Rajesh and hello everyone. We are pleased to report another strong quarter both in terms of business growth and profitability. As mentioned by Rajesh, despite the few macroeconomic headwinds, demand for travel continues to be resilient and robust. We are seeing an improved trend across all our segments and we believe fiscal year 2024 will be the year of growth over pre-pandemic levels. Through the pandemic impacted years, we have been investing in the areas of future growth and this should strengthen our modes and help us stay ahead of the market. During reported quarter four of fiscal year ‘23, gross bookings came in at about $1.7 billion witnessing a growth of over 80% year-on-year in constant currency terms on the back of strong travel demand. Adjusted operating profit or adjusted EBIT was about $19 million as compared to about $12 million during the same quarter last year, an improvement of over 58% year-on-year. Through the last few years, our strategic focus has been towards driving profitable growth and we are pleased with the results delivered through FY ‘23. While Rajesh has called out that we have achieved our highest annual gross bookings and adjusted operating profit in fiscal year ‘23 I’d like to add that we have now been consistently EBITDA positive on a GAAP basis for the last five quarters in a row. During fiscal year ‘23, we delivered GAAP EBITDA of $51 million with a margin of 8.6% as compared to an EBITDA loss of just below $1 million in the previous fiscal year. During the last couple of years, we have made efforts to optimize our cost structure and from here on, there will be gradual improvements in profitability on the back of operating leverage as we build scale. Our air ticketing gross bookings for the quarter stood at $1.1 billion, witnessing a growth of 84% year-on-year on constant currency terms. Air ticketing segments grew by 10.3% sequentially despite weak seasonality on the back of strong growth in air traffic. Adjusted margin stood at about $74.3 million, registering a growth of 81% year-on-year on a constant currency basis. Gross bookings for the quarter for Hotels and Packages segment came in at $388.6 million witnessing a strong growth of over 78% year-on-year in constant currency terms in line with demand trends. Adjusted margin for our Hotels and Packages business stood at $63.5 million during the quarter, witnessing a growth of over 64% year-on-year in constant currency terms. In our bus ticketing business, gross bookings for the quarter were at $213.5 million growing at over 66% year-on-year on constant currency basis. Adjusted margin stood at about $19.3 million, registering a strong year-on-year growth of about 70% in constant currency terms. The take rates or margins for all these three reported segments that is air ticketing, hotels and packages and bus ticketing continue to be in line with the previous quarter. Adjusted margin for the other businesses in the reported quarter of Q4 came in at about $9 million, witnessing a growth of almost 73% year-on-year in constant currency terms. Operating leverage built over the years is now clearly visible and we continue to be efficient with our marketing and customer acquisition-related expense. Our overall marketing and sales promotion expense for the quarter came in at about 5% of gross bookings as compared to 5.2% in the previous quarter. Most of the other expenses continue to be in line with the previous quarter. At the end of this quarter, our cash and cash equivalents were about $487 million as compared to $449 million at the end of the previous quarter. That’s an addition of about $38 million during the quarter. The cash addition was stronger than the profitability linked cash generation due to working capital releases in a seasonally weaker quarter. Our balance sheet strength gives us the flexibility to invest and pursue new growth opportunities, both organically and inorganically. And lastly, in the recent past, there have been some media reports about our India IPO plans. I would like to take this opportunity to share our view on the matter. We are an Indian company with a strong India brand and a predominantly India business. So, why there could be valid reasons or arguments for us to list in India, we currently have no plans to pursue this thought at this stage given the strong cash passion on our balance sheet. With that, I’d like to turn the call to Vipul for Q&A.
A - Vipul Garg: Thanks, Mohit. [Operator Instructions] The first question is from the line of Manish Adukia, Goldman Sachs. Manish, your line has bee unmuted, you can talk, while you can ask a question.
Manish Adukia: Great. Thanks, Vipul. Hi, team. Thanks for taking my question. So my first question is on the hotels business. Now while you did call out that recovery has generally been strong across all travel segments and with hotel that premium hotels are tracking above pre-COVID levels. But when I look at say your overall reported hotels revenue or volumes, they are still tracking reasonably meaningfully below pre-COVID level. So just trying to understand that from a mix standpoint, how weak is the budget segment still drive the overall hotel revenues and volumes of MakeMyTrip to be that much below recovery level. And there, what’s your outlook in terms of demand recovery, let’s say, over the next 6 to 12 months? That will be my first question, please.
Mohit Kabra: Sure, Manish. And maybe I can just take that. If you really look at in terms of our mix of bookings or room nights in pre-pandemic, it used to be – budget segment used to contribute close to about mid-40s in terms of the overall mix. Like I had mentioned, currently, we are seeing the budget segment contributing close to about one-third of our overall kind of bookings. So clearly, there is a there is kind of lag in recovery in the budget segment, and we do expect that it will probably take another 6 to 12 months for the mix to get restored or get closer to the pre-pandemic levels.
Manish Adukia: Thanks, Mohit. A follow-up there. I mean, this demand weakness in the budget segment, is it also a function of higher ASPs or meaningfully higher ASPs in that category versus what it used to be in the past?
Mohit Kabra: Absolutely. Absolutely, Manish, very, very relevant and important to bring that out. The ASPs, particularly in this segment, and this segment being a lot more price sensitive, the impact on volume recovery has been higher because as we noticed, the – historically pre-pandemic, there used to be a lot of significant promotions, deep discounting that used to happen from multiple players in this particular segment. which pretty much has kind of gone away. And therefore, the pricing impact in this segment has been sharper compared to the other segments, other price points. And therefore, the recovery has been lagging a bit. And like I said, it’s a segment which is even more price sensitive than the others. And that’s one of the key reasons for the delayed recovery on this one.
Manish Adukia: And – thanks Mohit. Should we assume that the take rate that you’ve reported now, which is about 16.3%, that should be the new normalized take? Or are you seeing some headroom for that number to move upwards, let’s say, in the course of next few quarters?
Mohit Kabra: Pretty much normalized, except for the fact that, like I was mentioning that if the budget segment mix kind of comes back to pre-pandemic levels, they will be marginally scope for improvement over here.
Manish Adukia: Understood. My next question is on the air business. Now there, of course, the volume numbers that you reported have been quite strong. But what we also noticed in the reported financials is that the promotion spend that you report against the air segment that consistently up from about 2% of gross bookings pre-pandemic now being about 3.4% of gross bookings. Is there like a meaningfully higher competitive intensity that you’re seeing in the air segment now than what you had in the past?
Mohit Kabra: I mean, it’s a factor of a couple of things. One part of it is clearly kind of in a linked to competitive intensity, but the other part is also linked to the fact that through the pandemic, the airlines have been kind of promoting the volume buildup on the ticketing side. And therefore, you see that the recovery is much stronger over there. It’s a little bit of a grossing effect. So you would see the take rates kind of staying strong and firm through the last couple of years and also the kind of promotional expense being slightly higher compared to pre-pandemic levels. So it’s largely, I would say, a combination of both of these factors.
Manish Adukia: Thank you. Just one last quick question. So margins obviously have remained very strong. Cash EBITDA margins now well in double-digits, so from here on, again, margins should we expect them to be range down? Are you looking to reinvest, let’s say, margins into growth or should margins be expanding from here on as demand recovers for them?
Mohit Kabra: See, this year has seen a very strong kind of growth over the previous fiscal year, right, because last year was kind of impacted to some extent by the pentamer. And therefore, the margin expansion has also been significantly higher this year. Going forward, we would expect margin expansion to continue albeit on a smaller measure, but we do expect some small margin expansion to continue.
Manish Adukia: Thank you so much for answering all my questions. All the best.
Mohit Kabra: Thanks, Manish.
Vipul Garg: Thanks, Manish. The next question is from the line of Gaurav Rateria of Morgan Stanley. Gaurav, you can ask your question now. 
Gaurav Rateria: Yes. Hi. Am I audible?
Vipul Garg: Yes, please Go ahead.
Gaurav Rateria: Hi, congrats on good performance. A couple of questions. The first one is related to the specific event that happened in the airline industry in India. What’s our exposure with respect to any balance sheet advances that could be potentially at risk? And secondly, how should that play out with respect to impact on the overall volume growth for the industry in the next 3 to 6 months?
Mohit Kabra: In terms of the industry, even as far as Go First is concerned, I guess you would have kind of picked up NCLT has actually appointed an interim resolution personnel and he has been tasked of kind of getting the airline back to running on an ongoing basis with a going concern concept and therefore, we believe there is really no risk in terms of our log in balances with the airlines because as soon as the ticketing kind of window opens again, these will get utilized very quickly. So I think it’s more a matter of time. Don’t really see a event exposure over there right now. In terms of the impact on industry Go First, like Rajesh called out, used to be about 6%, 7% of the overall market. But the impact on the market is unlikely to be that large. It’s going to be much more smaller because most of the other airlines are kind of pressing in more kind of flights and particularly on the key routes where they used to operate. And therefore, the overall impact on the industry is going to be much lesser than the market share that they used to have before they kind of close the operation. Rajesh you would like to add anything?
Rajesh Magow: Yes. No, happy to add what you said, Mohit. So Gaurav what Mohit said is right, right, the overall share was low and there are other stronger players in the market. I mean whether it is Indigo, or Air India or Casa is also trying to ramp up quite nicely actually. And not only planning to, they have actually already as we speak, deployed additional planes. So I think there will be obviously temporary sort of demand supply gap and then that could potentially have an impact on fares as we recently saw as well. But as soon as we have the more supply coming from the other airlines and the gap gets bridged. And hopefully, also, as we are hearing in the couple of – next couple of weeks, if goers back in the skies then that should ease out the situation as well.
Gaurav Rateria: Alright. Second question, just a data point on market share that you used to share always on the domestic air segment, how that has fared this quarter versus the last quarter?
Rajesh Magow: Yes, a little better only Gaurav. I mean, despite whatever might be happening in the market overall in this quarter was also – I mean, we have been sort of in the range of 30% to 31%. So if last quarter was 30%. This time, it was 30.5% plus, so a little better than the last quarter.
Gaurav Rateria: And would it be possible to get a sense of where we stand on market share for international outbound segment?
Rajesh Magow: Actually, it’s very hard Gaurav to get to the actual number because the domestic, it’s very easy because they are third-party sort of source data available, as you know, from DGCA but for international, given that there is also inbound and there are a lot of international players and all, it’s very hard to sort of get to the, and we use surrogate all the time. I don’t think there has been any significant change in the market share for the international overall. And the reason for that is simple. I mean, as we sort of covered in our commentary, the overall international bond travel, thanks to high fares, maybe mostly belong haul and some of the operational issues related to Visa, etcetera, is still in the recovery mode. I mean, it used to be – last quarter, if you would recall, was about 70%, 75%. We are getting into 90s now. And first, we just get out of the recovery mode and get into a growth mode this year, and then hopefully, there will be some share gains as well.
Gaurav Rateria: Got it. Third question is with respect to the new channels that you talked about that you started over the last 2 to 3 years. Cumulatively, all these account for what percentage of the overall gross booking for us? And is there any target from a next 1 to 2-year perspective? And last question from – for Mohit. Like you’ve always given a sort of a range for the ad spend as a percentage of the total gross booking 5% to 6%, we have pretty much in the lower end of that band for last 1 to 2 years. So how should we look that number going forward, let’s say, for fiscal ‘24?
Mohit Kabra: Sure. I think on the expense side, I would say it kind of pretty much kind of look to remain within that range of 5% to 6%. Again, depending on multiple things, including competitive intensity, including kind of what kind of promotional expense coming, particularly from the supplier side, etcetera. we believe we should continue to be in that same range of 5% to 6%. And we should continue to see some amount of margin expansion also happening at the bottom line while maintaining this range of spend. So that is how I would look at it. Probably, there will be a more kind of a higher mix of kind of brand-related spends going forward out of the entire customer acquisition cost. So that’s probably the only small tweak that I see going forward, but no overall kind of shift in the range per se. Gaurav, if you could just kind of point me back to the previous question before.
Rajesh Magow: Maybe I’ll take that one. I can take rate, it was about the new channels. So Gaurav, maybe I can that. So the way we are looking at Gaurav in all fairness, the new channels is that the first couple of years is always onboarding, ramping up, scaling up, engaging either the corporates and acquiring corporates or, let’s say, onboarding travel agents for myPartner platform. And from all those metrics, they have been doing really, really well. Now it’s just a question of – and of course, on our platform, we’ve been adding more capabilities in terms of product offerings and so on and early signs of traction on engagement and as well as the transactions happening on both sort of SME segment and the large corporates on myBiz is pretty robust. Now given that they have just started and it’s just a couple of years, and we will wait to sort of get that to scale for us to be able to sort of give you any more color in terms of what their current contribution. More importantly, how are we sort of looking at them contributing. See, right now, our focus is very simple. The focus is that we want to just reach out from a REIT standpoint to every possible demand segment. And with that intention and goal from a midterm and a long-term goal standpoint, we made these investments. And we are quite happy with the progress so far in terms of sort of all these key KPIs that early part of the journey, they become very, very relevant and they are doing really well. Let’s just bid for some more time for us to be able to get to the actual numbers in terms of business, how much is the contribution happening.
Gaurav Rateria: Alright. That’s useful. Thanks a lot, and all the best.
Rajesh Magow: Thank you, Gaurav.
Vipul Garg: Thanks, Gaurav. The next question is from the line of Mihir Shah. Mihir, you may please ask your question now. 
Unidentified Analyst: Hi. Are you able to hear me?
Vipul Garg: Yes, yes, we can.
Unidentified Analyst: Thanks, Vipul. Rajesh, maybe a question for you. Just on ONDC, right, the open network for digital commerce. The scope and vision of the platform seems fairly broad. It could overlap with some of the categories that you play in could you just talk a little bit about how you’re looking at it, what are the opportunities and risks to keep in mind? And it would be great if you could talk about it separately for air versus hotels because maybe the consideration could be different.
Rajesh Magow: Yes. No, I think it’s an interesting observation, Mihir, ONDC has been in the news for a while now and may be off let a lot more in the public domain. And we’ve been actually watching the space very, very carefully. Not only watching, we’ve been sort of often engaged with the ONDC management also. Just to continuously keep sort of understanding from their point of view, how are they looking at evolving their own platform. To be honest, and it’s all in the public domain, this news is that the categories that they have launched so far, they are obviously waiting for that to sort of scale up and get full traction, etcetera. From a mobility standpoint, I mean anything related to travel and tourism is later. But before that, I think it’s – right now, there is some soft launch on the mobility side first because that’s a high frequency item, and we wanted to probably solve that for first before, before they get to the actual travel and, let’s say, flight bookings or overall bookings letter and all of that because I think there could be also a realization that these are fairly complex products at some level, especially the hotel bookings or the, let’s say, international flight bookings for that matter, relatively domestic flights might be easier. So at this point in time, it’s basically wait and watch and just see how the other categories and all the seller side and the buyer side sort of operate and how do they solve for the overall post-sales customer experience, the – from a product come standpoint, the delivery and all the related issues that come along with it. And they have been sort of grappling and there have been some reports, again, again in the public domain from their point of view that there are issues that are not necessarily everything is sort of very smooth and frictionless – so I think it’s going to take some time for it to evolve. Can it sort of offer for the long tail of sellers a good platform that they can sort of participate in e-commerce? Perhaps the answer is yes. Can they possibly scale this up to bring in more categories, we will have to wait and see and more from just solving the end-to-end sort of experience problem because we do believe the travel is very experience-oriented. And therefore, while it might look pretty simple on the front end from a booking standpoint, but it’s fairly sort of complex when it comes to the post sales experience as well. So I think at this stage, net-net, I would say keep watching this space carefully and see how it sort of evolves and then accordingly sort of plan your moves on it.
Unidentified Analyst: No, I appreciate it. Thanks a bunch here And Mohit, maybe one for you. Could you just talk about the current mix of international flights? How much is it as a percent of the flights business? And as it normalizes, would that be a tailwind for your margins in the air business?
Mohit Kabra: It should definitely be a tailwind, particularly in terms of incremental contribution of growth coming in. And like Rajesh called out, the recovery on the international side has been lacking. And also, we see a lot more kind of potential future growth in that particular segment of flights. So just to kind of give a color in terms of pre-pandemic versus current mix pre-pandemic internationally was contributing close to about 38%, 40% of the overall air ticketing margins. And currently, it is at about 25%. So clearly, a lot of headroom over there, we should be a tailwind for the coming years as that supply kind of improves and the prices kind of come in a little better.
Unidentified Analyst: Appreciate it. Thanks a bunch.
Mohit Kabra: Thank you, Mihir.
Vipul Garg: Thanks, Mihir. The next question is from the line of Aditya Suresh of Macquarie. Aditya, you may please ask your question now. 
Aditya Suresh: Thank you for taking my questions. I had a few questions, but maybe the first one was just the industry structure itself, right? So obviously, you have Tata more active, we have first with issues. The specific question was, with regards to your blended commission or take rates and your kind of different levels of engagement with the suppliers, whether it be GDS or direct. So can you help us understand what the current industry structure does for your blended commission or take rate?
Mohit Kabra: So Aditya, the industry has kind of been seeing consolidation over the years. So it’s not a new phenomenon. And if you really look at the share of Indigo over the years, it’s been kind of steadily increasing, right? And keeping that in mind, we have been kind of guiding what we believe could be sustainable ticketing rate, and we’re kind of pretty much in that range right now, slightly more kind of contraction in the ticketing margins could possibly be driven by, I would say, a lower kind of payment gateway costs or kind of lowering of payment it costs over the years. As that happens, there is clearly a potential for some of the – some more margin compression over here. But otherwise, we feel we’re kind of in a reasonably kind of a stable margin kind of phase. And this is actually more across segments, not just a ticketing across all the other segments as well, whether it is bus ticketing, whether it is models and packages, we do believe margins will largely remain stable.
Aditya Suresh: Just about clarification would be that like if Indigo did take share, right, incrementally I would have thought that, that would be dilutive to your blended air take rate. Would that be a fair comment or…?
Mohit Kabra: Not necessarily Aditya because in the manner that the take rates are kind of built up for the industry in India, at least of the OTA industry. A large part of the take rates kind of going to come in as fees from the customer side and not necessarily as commissions from the airline. In fact, commissions from most airlines, the upfront commissions have been down to zero for a fairly long period, so that hasn’t really kind of changed the structure very significantly. Yes, if you would see probably like about 8 years, 10 years back, I mean it was predominantly a commission-led model. We have seen a change coming from that model to the current one. But over the last few years, it’s been – it’s largely been stable on these lines.
Aditya Suresh: Thanks Mohit. The next one was just in terms of, you mentioned operating leverage, etcetera, right? So, just as a conceptual dynamic, not to kind of hold you to any specific number, but – and I think I asked this question last quarter as well. But let’s say that we incrementally add $100 million of revenue next year. What sort of incremental EBITDA margin do you expect to make? And I guess there is still inherent operating leverage given that you are – your key kind of lines would be customer spends, employee costs, which seem fairly – those are lines that you can kind of keep in check if required, right? So, can you just give us any thoughts or color on that.
Mohit Kabra: It’s, like I had mentioned last time also, we don’t kind of give either growth guidance or profitability guidance. We will leave some part for you to kind of make it out of the trend lines.
Aditya Suresh: Or maybe just as a like for example, staff costs, right? So, that’s a fairly big part of…?
Mohit Kabra: I would leave this for you to kind of make out of the trends. We don’t really see guidance on future kind of growth or profitability as such.
Aditya Suresh: I appreciate that Mohit. The question was more in terms of how should we be thinking about your employee base? Are you looking to add more staff to kind of cater to this growth? Are you looking at staff salaries in, say, double-digit kind of inflation territory. Like how are you thinking about staff salaries, for example?
Mohit Kabra: Yes. Like I have been calling out consistently even the last time when you asked this, we are not really looking at adding any significant employees to the team. It’s largely going to be more inflation-led or kind of increases and not any significant headcount addition. And that’s been the trend over the last few years, if you see us back.
Aditya Suresh: Thanks Mohit. Thanks for clarifications.
Vipul Garg: Thank you, Adithya. The next question is from the line of Manik Taneja of Axis Capital. Manik, you please ask your question now.
Manik Taneja: Thank you for the opportunity. I hope I am audible.
Vipul Garg: Yes, please go ahead.
Manik Taneja: Yes. So, I basically had a question related to the adjusted EBIT line and you partially answered or provided an outlook on how we should be thinking about margins. But given the rate that we are at about 1% to 1.1% of GBR and the fact that our stock composition has been coming up, if you could give us some sense of how we should be thinking about the ESOP cost as well as the adjusted EBIT margins, please.
Mohit Kabra: Like I said, on the margins, whether adjusted EBIT or adjusted operating like I just kind of mentioned on the previous question, I don’t necessarily kind of give guidance either on growth or on the net margins. But when it comes to share-based compensation, I can share some color that we expect it to kind of largely remain in line. We don’t really kind of see this increasing in the coming years, albeit it might only see a little bit of a reduction going forward, very unlikely that will kind of see an increase. So therefore, from an operating leverage point of view, it is one of those lines which will contribute to some operating leverage.
Manik Taneja: Thank you. All the best for future.
Mohit Kabra: Thanks.
Vipul Garg: Thanks Manik. Next question is from the line of Achal Kumar of HSBC. Achal, you may please ask your question now.
Achal Kumar: Hi. Thank you. Vipul, I hope I am audible.
Vipul Garg: Yes, please go ahead.
Achal Kumar: Perfect. First question was around the competitive intensity. So, of course, is MyTrip has rapidly captured a significant market in airlines. And now we are talking about capturing share in the hotel side. So, what’s your thought on that? How can you protect your market share in airlines, but also in the hotels? So, if you could please share thoughts around that.
Rajesh Magow: Yes. Maybe I can take that one. So, Achal, I don’t think it will be fair to comment on a specific competition. I don’t think it’s fair. I think maybe you should sort of ask them their strategy and their questions around how are they looking to expand, etcetera. But if you look at sort of MakeMyTrip and the numbers that we have reported out and the track record of the market share numbers also that we have reported out, we have only been gaining market share. Pre-pandemic on domestic floods, we used to be at 27%, we are now at 30%, 30.5% and similarly, our hotel business recovery has been very, very robust. And there is actually the reality is that at this point in time, the kind of hotel product that we have in terms of supply, depth and breadth and the product and the scale and the size of the business, no one really in India does that, if you look at just the OTA market. So, I think it will be fair to say that we have been able to maintain our market leadership consistently and have a substantial sort of lead and not necessarily on our flights business, but also on hotel business and as well as ground transport business. So, from our perspective, we look at it is, while we are quite happy to have the healthy competition in the market because it’s always good for the ecosystem, but very focused on how are we going to drive our strategies, where are going to make the investments to make sure that we stay always ahead.
Achal Kumar: Perfect. Thank you. My second question was around a change in the customer behavior. I mean whenever I speak to the hotels, or the airlines, I think there are a couple of things or a couple of customer changes they talk about the changes the customer’s behavior. I mean, first is how the customers are actually clubbing work with leisure trip. So basically, the gap between the weekend and the week days is actually squeezing or reducing because people prefer – previously, they used to travel on Saturday and Sundays and then now they travel any day of the week and they can work on two days from the hotel. And so there is a change in the customer’s behavior, and that is quite helpful for the hotels industry. And on the other changes that now post-COVID, I think the people are taking too many short breaks, short frequent trips. And then they prefer to drive down to the new places. So, what are your thoughts around that? I mean you are being in the industry, I think you get a sense about the changes in the customer behavior and how that is impacting the industry or benefiting the industry rather?
Rajesh Magow: Actually, Achal couldn’t agree more with you on both. These are exactly the insights that we have also noticed. In fact, picking up these insights early, we have launched like a product called Staycation [ph] to cater to exactly the insight – the first insight that you mentioned and that not necessarily people are waiting for long weekends to travel because there is flexibility today to operate from wherever you can operate from if all of what you have to do is to have a WiFi and you can log into Zoom or Microsoft Teams or any of the other video conferencing tool, and then you can operate from that place, right. So, we have seen that trend increasingly picking up, and it has continued. If there is something that has continued as the business has been recovering coming out of the COVID from a consumer trend standpoint, it is this. And then the other point that you mentioned is also very valid. We have also seen that the frequency of taking breaks have gone up and short breaks that have gone up specifically. So, while if the historical trend was that there is the summer break, April, May, June quarter or winter break or a quarter and within that, you will plan a longer duration holiday. Now across the year, even for the non-seasonal quarters, you will see the trend of more frequent short vacations that are being taken by the consumers. So, on both the trends, the – and these are very positive trends for the travel industry in India. And largely, and so far, it has been India traveling within India. And as more and more sort of international travel also eases out in terms of just fares getting rationalized over time, it might even be international travel so we will wait for that to see how it happens. But in terms of just positives coming from the consumer trends, these are two big positives.
Achal Kumar: Okay. Perfect. Thanks Rajesh. My next question was around your loyalty programs. I think you had it in the last quarter if I am not wrong. So, could you please talk a little bit about your – how the loyalty performance – loyalty programs is performing, or rather more importantly, how the return rate of the customers have been? I mean is it increasing? Is it decreasing? Could you please share your thoughts around that?
Rajesh Magow: Yes, for sure, Achal. So, we do have our loyalty program and doing very well. It’s called Black program. It’s called MMT Black. And like you rightly pointed out, kind of the metric that we track for this is that how loyal are these customers. What is the sort of repeat rate as compared to a normal non-Black customer and we have – quarter-on-quarter, we have seen sort of improvement on Black members coming back or the number of transactions that the Black members do in a year on our platform versus a non- Black member has only been increasing in favor of Black members. So yes, so we are very keen to sort of continue to keep expanding that program and also keep the value proposition very strong for Black members.
Achal Kumar: Do you have any grid by chance, which shows that what is the – I mean top 50% of customers or next 45%, whatever it is showing that what is the return rate or how many bookings do they make top 15% to top 20%, something like that. You have said that kind of grid.
Rajesh Magow: No, Achal, when we look at it, obviously, at the operating level, I am sure teams are sort of monitoring some of these detailed KPIs as well. But at a strategic level, I think what is important and sort of maybe sufficient to know is that, let’s say, a cohort of non-Black members. And if they were doing x, and I am making numbers up, right, I am not – and these are not the exact numbers, but let’s say, if they were doing x number of transactions in a year, the Black numbers – Black members would be doing 1.5x for example. So, that’s the sort of difference that we have seen.
Achal Kumar: Understand. Perfect. Thank you so much and wish you good luck.
Rajesh Magow: Thank you, Achal.
Vipul Garg: Thanks Achal. The next question is from the line of Vijit Jain of Citi. Vijit, you may please ask your question now.
Vijit Jain: Yes. Hi. Thanks. Vipul, can you hear me?
Vipul Garg: Yes, please go ahead.
Vijit Jain: Yes. Thanks. So, just my question is on the hotel side, starting with the premium segment, Rajesh. So, have you seen competition here increase from the likes of booking, Agoda, etcetera, more recently? And given these – my understanding is these companies were always more dominant from an India inbound perspective now that travel is recovering. And maybe the hotel partners are seeing more traffic from these global OTAs. Is that changing your take rates with premium hotels, or is that changing your negotiations with the premium hotels on the platform?
Rajesh Magow: Sure, Vijit, as far as your first question goes, nothing unusual. To be honest, I mean this competition was always there. And like I said, healthy competition is always welcome. And this is very competition fought on the back of the product, the experience and the service, etcetera, which we, from our point of view, absolutely love sort of competing on those aspects, and that’s wonderful. And nothing unusual that has happened. In terms of opening up in mount traffic, of course, travel has opened up, and there has been more inbound traffic and they do bring inbound traffic to the country, and they definitely are being. But has that sort of made any impact on our sort of relationship engagement, commercial, etcetera, with the partners, the answer is no, because there is a large buy of the travel is still domestic and will continue to be domestic because the size of the pie is pretty big and all kind of sort of segments of the travel that that’s recovering nicely and we have actually shown a lot of pent-up demand as well, like I was just mentioning in terms of lot of the exhibition conferences, corporate offsites, etcetera, happening. And that – and a lot of the preference there is domestic and for more than one reason. So, clearly the – it is relatively cost effective because the fares on international destinations are pretty high. But even, let’s say, they get rationalized and if there is steady state, there is the relative size of the pie for the domestic market is really, really big. And so therefore, from that point of view, the contribution, our contribution is only going to be significant and will continue to improve. And therefore, I think there is a place for both without sort of impacting each other.
Vijit Jain: Got it. Thanks Rajesh. Just my second question is, if I remember right, last quarter also, you mentioned that these – some of the premium hotels in India have obviously all raised their average daily rates and that the occupancy had still some way to recover now. A few of these hotel companies which have reported 4Q, we can see that there is a little bit of normalization there and occupancies have gone up. Have you seen that more broadly? And from a from an FY ‘24 perspective, do you think that is the direction in which you are headed in the non-budget segment that is the ADRs go down, occupancies go up?
Rajesh Magow: Actually – and what you said, Vijit is right, right. I mean it’s actually the data is out there. But if you hear some of the commentary also from the hotel partners who are public, and you would notice that there is a lot of optimism in terms of the Indian consumers’ ability to sort of pay more than what they used to pay ever before. And therefore, the rates are likely to be firm and all. So, we will have to wait and see. See, so far that has played out really well. We will have to now see in the context of because it’s obviously a function of the demand momentum continuing, which is linked to, therefore, occupancy. And then what should be the pricing strategy from the hotel partner standpoint. And we have seen that in the past, even in pre-pandemic that, for example, seasonality versus off-season there could – there will always be a difference and so on, right, which is underneath that is a clear function of demand and supply, right, so from a seasonality perspective. And I don’t think that conceptually, it is going to be any different. So, if the demand continues to be robust, and there is a possibility that we will – especially for the mid and premium segment that that the rates would continue to sort of stay there at level and firm up. But if there is a demand slowdown at some level or the pent-up is slowing down, and it becomes like a steady state and more supplies in the market, then there may be some rationalization that might take place. So, I think it’s purely a function of demand and supply, and how they sort of manage their overall yield management. I think one important point that you should keep in mind, the reality also is that if you compare it with pre-pandemic for the last 3 years, I mean except for the last year, I would say last 2 years and even before that, the rates have not really gone up. So, there has to be some natural annual inflation that you should definitely factor that in, which would mean maybe in over 2 years, 3 years, about 15%-odd. And that should be a normal sort of increase in the fares or the rates. But anything beyond that will be a function of demand and supply.
Vijit Jain: Got it. My last question, Rajesh, if you can, on the budget side now, we – as you have pointed out earlier, the super budget segment has been affected badly because obviously, the discounts went away and everything. But it’s been a while since the economy has fully opened up and the budget hotels would have opened up. So, I am just wondering, if you strip out the impact on the super budget space, from the budget category, are you seeing momentum on the supply side or on the demand side more recently? And is it going to still take a while before the segment kind of takes – grows faster than the premium segment that is?
Rajesh Magow: Yes. Vijit, on the supply side and the momentum part of it, absolutely. And actually, even for the budget segment, it’s just the ultra-budget segment may be less than INR1,000 a room night or INR700 a room night. And that there may be some can and because the end user price pre-pandemic was, as Mohit was sharing earlier was deeply discounted, etcetera, and it’s coming back. And by the way, I don’t think it will be fair to say that it’s not coming back. It’s coming back actually nicely. It’s improving quarter-on-quarter. And it’s just taken more time, might take maybe another quarter or two quarters. And it will come back and eventually it will come back. So, I am not necessarily worried especially in the context of the impact that it has on the P&L overall because of the XP levels, right. So – but at the same time, if you would see anything above INR1,000, the recovery has been and the momentum has been pretty robust.
Vijit Jain: Got it. Thanks Rajesh. Those are my questions. Thank you so much.
Rajesh Magow: Thank you, Vijit.
Vipul Garg: Thank you, Vijit. We are already out of time. So, anybody who has any questions, please mail it to us and we will take it separately. This brings us to the end of the call, Rajesh, closing comments from you.
Rajesh Magow: Yes. Thank you, Vipul and thank you everyone for your time. Thank you for your patience and we will stay in touch. Thanks.
Vipul Garg: Thank you everyone. You may please disconnect now.
Mohit Kabra: Thank you so much.